Operator: Good day, everyone, and welcome to the PBF Energy Third Quarter 2017 Earnings Conference Call and Webcast. At this time, all participants have been placed in a listen-only mode. And the floor will be opened for your questions following management's prepared remarks. Please note, this call may be recorded. It's now my pleasure to turn the floor over to Colin Murray of Investor Relations. Sir, you may begin.
Colin Murray - PBF Energy, Inc.: Thank you, Leo. Good morning, and welcome to today's call. With me today are Tom Nimbley, our CEO; Erik Young, our CFO, and several other members of our management team. A copy of today's earnings release, including supplemental financial and operating information including throughput guidance, is available on our website. Before getting started, I'd like to direct your attention to the forward-looking statement disclaimer contained in today's press release. In summary, it outlines that statements contained in the press release and on this call which express the company's or management's expectations or predictions of the future are forward-looking statements intended to be covered by the Safe Harbor provisions under federal securities laws. There are many factors that could cause actual results to differ from our expectations, including those we described in our filings with the SEC. As noted in our press release, we will be using certain non-GAAP measures while describing PBF's operating performance and financial results. For reconciliations of non-GAAP measures to the appropriate GAAP figure, please refer to the supplemental tables provided in today's press release. As a result of changing hydrocarbon prices during the third quarter, we generated a non-cash lower-of-cost-or-market, or LCM, after tax gain of approximately $160 million, which increased our reported operating income. The remainder of our comments today will exclude this special item. I will now turn the call over to Erik Young.
C. Erik Young - PBF Energy, Inc.: Thanks, Colin. For the third quarter, PBF reported income from operations of approximately $322.1 million and adjusted fully converted net income of $164 million or $1.44 per share on a fully-exchanged, fully-diluted basis. For the quarter, G&A expenses were $58.3 million, depreciation and amortization expense was $78.5 million and interest expense was approximately $37 million. I should point out that our tear sheets have been amended to allocate depreciation and amortization expense between refining operating expenses and corporate G&A. PBF's effective tax rate for the quarter was approximately 39.4%. For modeling purposes, you should continue to assume a normalized rate of 40%. Our RIN expense for the third quarter totaled $83.4 million. We expect that our full year burden will likely be in the $350 million range, but this figure could increase if the EPA continues to side with the ethanol lobby in their November announcements regarding the 2018 obligations. Total consolidated CapEx for the third quarter was approximately $181 million, which includes $166 million for refining and corporate CapEx and $ 15 million incurred by PBF Logistics. For the full year, we continue to expect capital expenditures to be approximately $600 million for refining CapEx and $120 million for PBF Logistics. With respect to the balance sheet, we ended the quarter with liquidity of just under $1.2 billion and consolidated net debt-to-cap of approximately 39%. Lastly, we are pleased to announce that our board has approved a quarterly dividend of $0.30 per share and, today, PBF Logistics announced its 12th consecutive quarterly distribution increase to $0.48 per common unit. I'll now turn the call over to Tom.
Thomas J. Nimbley - PBF Energy, Inc.: Thank you, Erik, and good morning, everyone. As Erik mentioned, we reported strong results for the third quarter. The results reflect the work and the capital that we have put into our assets. That work is continuous. And we still have improvements to make and opportunities to capitalize on, but our results in the quarter were only possible through strong operations. We had five operating refineries, we achieved record throughput levels, and we were able to capitalize on strong market conditions. While one quarter is not victory, we feel that this quarter is reflective of the true potential of our assets. Our Chalmette refinery achieved the highest throughput we have seen, and their operating costs continue to trend down as we expected. Torrance's post-turnaround performance has also met our expectations. The refinery achieved record throughput rates in August and September, and we expect that trend to continue. We have been working diligently at Torrance to improve the facility, increase reliability and develop the workforce. The fruits of our efforts should be safe and reliable operations, lower operating cost and increased profitability. Our post-turnaround performance shows we are on the right track. The largest headwind to our business is the regulatory oppression that we are experiencing coming out of Washington and, more specifically, the EPA. The disappointing comments from the EPA regarding renewable fuels blending and any potential for a shift in the point of obligation are just more examples of the inability to get things done in Washington. The EPA and the administration caved to the high-pressure tactics of the corn lobby, otherwise known as extortion and blackmail, aimed at maintaining the status quo and sustaining policies that are harmful toward the American workers and consumers. Recently, nine senators from throughout the country, including Pennsylvania and Texas, sent a letter to the White House calling for a comprehensive discussion on the topic. Importantly, this issue is far from settled. Beyond the RFS, the macro backdrop for our industry looks very promising heading into the year-end and 2018. The demand picture looks good, especially for distillates as a result of strong global economic growth. Global gasoline and distillates stock levels have come down from their peaks, domestic stocks have drawn down and returned to more normalized five-year averages. Overall, our outlook is positive. The macro picture is encouraging. Our refineries are running well. The regulatory battles will certainly continue. And there are other changes on the horizon which could favorably impact our industry. Before closing, I would like to congratulate my colleague and friend, Jack Lipinski, on his announced retirement. Jack has served the industry well for many years, and we wish him all the best in his future endeavors. Operator, we've completed our opening remarks, and we'd be pleased to take any questions.
Operator: Great. In a moment we'll open the call to questions. We'll take our first question from Roger Read of Wells Fargo.
Roger D. Read - Wells Fargo Securities LLC: Yes, thank you. Good morning.
Thomas J. Nimbley - PBF Energy, Inc.: Good morning.
Roger D. Read - Wells Fargo Securities LLC: I guess can we talk Torrance? I mean, it's obviously been the one giving you a lot of trouble. It looks like it runs fairly well most of the quarter. Can you walk us through kind of what was going on in July that it wasn't a record month? What you've seen by running at a record level? And then while I know seasonally we're running into some softer periods, kind of how it's performing here early in the fourth quarter?
Thomas J. Nimbley - PBF Energy, Inc.: Sure. The story for July was simply the fact that we did have a very large turnaround in the second quarter. And as we mentioned, I believe, in the last call, the turnaround was not completed until between the second and third week of July. So we really didn't get a run rate going until the third week of July. Since the third week of July and continuing through today, the refinery has run very well. And that's why we reference the August and September results. Those were the first two full months that we ran without any problems in Torrance. And as I said, that continues today. I will say, I said we're moving in the right direction in Torrance. That is pretty clear. There's a massive program going underway to effectively improve the operation, focus on operations and reliability but is paying off in a lot of different areas. Our operating cost for the month of September, this is the last month of the quarter, we're about $7.11 a barrel for refining. So we're starting to get down to the levels that we model this on, and we told you that we would get to, which is sub-$7, around $6.75 a barrel. And we're making progress in other areas in the commercial arena. And frankly, you can only focus on those type of areas when your operating is good, so the whole key has been getting good stable operations.
Roger D. Read - Wells Fargo Securities LLC: Okay. Great. That kind of helps me lead into the next question. If you look at the OpEx performance in Chalmette, I think you made pretty clear back on the fourth quarter call what they've been doing wasn't good enough. A couple of quarters now where that's come in really well. Are there things that you did at Chalmette that are going to be applied at Torrance or are being applied at Torrance that we can look forward and get some confidence on that OpEx front?
Thomas J. Nimbley - PBF Energy, Inc.: Yes. Actually it's a good question. It's not just Chalmette. We have five refineries. Every one of them has strengths in certain areas and probably some areas that then – certainly some areas that they need to improve. So, we've established these best practices networks, including on turnaround efficiency, reliability and operating cost. And there's actually 27 different networks. So, as part of the program I referenced, we're sending people from Torrance to all of the other refineries in certain areas to get their skill setup, get their confidence level up, get their confidence up and take some of the practices from the other refineries that are pertinent and apply into Torrance, and we've been able to do that. And I'm very confident, as I've said before on the call, that at the end of the day that Torrance will be our most profitable refining asset in the company.
Roger D. Read - Wells Fargo Securities LLC: Okay. I've got one more, but I will turn it on back. Thanks, guys.
Operator: Our next question comes from Phil Gresh of JPMorgan. The line is open.
Phil M. Gresh - JPMorgan Securities LLC: Yes, hi. Good morning. First question, just on the quarter. When I look at the cash from operations, it would seem to imply that there was a decent sized headwind there perhaps from working capital. Could you talk about that?
C. Erik Young - PBF Energy, Inc.: No. I don't think not a headwind from working capital. We – as a result of Harvey, we had some vessels that were on the water a little bit longer than we had expected. We clearly ran 850,000 barrels a day. So, you have one or two days of inventory slippage that can be a meaningful number, and we also built a little bit of fuel oil and some other intermediates at Delaware City towards the end of the quarter, but I wouldn't say our working capital overall was relatively flat. In fact, it was essentially neutral. So, I think, from our perspective, we had some CapEx catch-up during the third quarter, so $180 million of CapEx all-in. But I think we're pretty confident still with hitting our year-end inventory targets and expect that we should have a working capital benefit as we go here into fourth quarter.
Phil M. Gresh - JPMorgan Securities LLC: Got it. Okay. And then, Tom, so I think you mentioned in September, you had close to a $7 OpEx at Torrance. Is that what you're expecting on the fourth quarter on a go-forward run rate or are there still – just where are you at in the OpEx reduction process?
C. Erik Young - PBF Energy, Inc.: We're moving and moving at a relatively – well, let's say, since we got it back up and lined out, we've been moving in a relatively rapid pace, better than what I would have expected. I did say, we were at $7.11 a barrel for the month of September, and we expect to continue to make progress and get to sub-$7 and the target was $6.75, and I suspect we'll be there in the next several months.
Phil M. Gresh - JPMorgan Securities LLC: Got it. And if I could just ask one more, obviously you commented on RINs, and there has been some discussion out there about risk of PADD 1 refinery closures. So I'm wondering how realistic you view that risk and any color you might have?
Thomas J. Nimbley - PBF Energy, Inc.: Phil, I would say that there's a number of refineries in PADD 1, including ours, that I think have complexity and have strengths that are going to be – allow them to continue to not only run, survive, but also prosper, especially if there's some changes that are pending several years down the road. Clearly RINs is a significant headwind and for the light, sweet crude refiners in the PADD, it's a significant headwind, because they don't have the complexity that the rest of the refineries have. As to whether or not there's a rationalization, I can't say. Obviously, BES has got some financing issues that they have to overcome but, frankly, their margins are very good as are margins across the country. So, it's hard to say.
Phil M. Gresh - JPMorgan Securities LLC: Got it. Thanks.
Operator: Our next question comes from Chi Chow of Tudor, Pickering, Holt.
Chi Chow - Tudor, Pickering, Holt & Co. Securities, Inc.: Thanks. Good morning. Couple of questions on the heavy crude market. There's been a lot of talk recently on the quality issues of Venezuelan barrels. Can you discuss what you're seeing on your end and how that's impacting your crude slate?
Thomas J. Nimbley - PBF Energy, Inc.: Actually, just a general – on the heavy – quote – crude market, there's kind of like three different things that I would comment on. One is, we expect that the light heavy spreads will continue to be relatively narrow or wide, given the compliance with OPEC, non-OPEC. Specific to Venezuela, we've had a decrease of about 9,000 barrels a day or something like that from the first part of the year. But we've had no problems in substituting crude. The Venezuelan issue is a macro issue. And everybody's focusing on certain specific things, but I think the reality is that things are going to have to play out in Venezuela itself from the crisis that the country is going through before we're going to be able to really see how things are going to get righted completely, but we've had no problems substituting crude. WCS or the Canadian crude, I'll make a comment on that. You asked about heavy crudes. It's certainly, the wider Brent/TI spreads have certainly improved the economics of bringing in Canadian crude. So we are bringing in a fair amount by rail into Delaware, also running crude into Gulf Coast of the United States. All those comments on crude being what they are, the fact is that what's driving the margins right now is a very strong product pull. And that we expect to continue.
Chi Chow - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay. Thanks. I guess, we've seen the Maya differentials widen out over the last month-and-a-half or so. I know some of it's formula-driven with the K factor. But given your comments, do you think that's more of a temporary seasonal impact or – yes, I mean, what's going on with Maya? And then, secondly, what's your rail cost now on the Canadian barrels?
Thomas J. Nimbley - PBF Energy, Inc.: I think, our rail cost for a unit train is somewhere still in the $16 a barrel range. Is that correct, Mr. O'Connor, in that range? $16 a barrel.
Chi Chow - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay.
Thomas J. Nimbley - PBF Energy, Inc.: Other than the K factor, and the formula pricing, and fuel oil moving around a little bit, I don't really think there's anything systemic or permanent in terms of – or going on with the change in Maya pricing.
Chi Chow - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay. Great. Thanks. I guess, one last thing. In your remarks, you said that you see other favorable factors developing here. I'm assuming MARPOL is part of it. But can you talk about other factors you see ahead?
Thomas J. Nimbley - PBF Energy, Inc.: Well, certainly I mentioned specifically that we continue to see a good worldwide economic environment. Hope, despite my comments about the functionality – or dysfunctionality in Washington, D.C., there is still a possibility of a corporate tax reduction as part of a tax reform bill. I think that would be very favorable to the economy and would be very favorable to PBF. We'll see how that goes. But you're right, Chi, the impending 2020 change in the sulfur spec from 3.5% to 0.5% for bunker fuel oil, I think you folks have started covering that pretty heavily. So you're all over it, but we are too. That is a big seismic shift. It has the potential to be a seismic shift. And candidly we are pleased with our portfolio. We're well positioned to take advantage of it. We have five refineries; four of them are high complex coking refineries with, in some cases, some spare coking capacity. And the fifth, Toledo, basically makes no fuel oil at all, cracks all its bottom (18:49). So we think we're structurally set up in a pretty good place when that spec changes.
Chi Chow - Tudor, Pickering, Holt & Co. Securities, Inc.: Right. Okay. Can't argue with that. Thanks, Tom.
Operator: We'll move next to Neil Mehta of Goldman Sachs.
Neil Mehta - Goldman Sachs & Co. LLC: Good morning, guys. Tom, can you speak a little bit about early thoughts on 2018 capital spending? I think you said you're going to do $600 million this year at refining and $120 million at PBFX. Can you just kind of help us walk through what potential drivers are in 2018 relative to 2017?
Thomas J. Nimbley - PBF Energy, Inc.: Yes, I think, well, we'll revert to the guidance that I think Erik and Colin have given somewhere. We expect our run rate CapEx in any given year to be $500 million to $525 million PBF alone. There'll be some lumpiness. Certainly we had a tougher year in 2017, and that candidly was because of having to execute the Torrance turnaround with less time than we thought we would have had because of the delays and the change in control. So we closed the deal a lot later than we had expected, and the units did not agree to run longer. So we had to shut them down without as much planning as we had. So that was a little bit of a one-off thing. So we're going to be somewhere in that range. We haven't finished completely the capital guidance for next year. We're still working through. So I can't give you an exact number. I will say that we're kind of pleased, though, going into 2018 that specifically we spent a lot of money in Torrance, but Torrance looks to have a light turnaround year, which will hopefully give us that not only one quarter, two quarters, but all of 2018 to continue to focus on the structural improvements that I talked about in that refinery.
C. Erik Young - PBF Energy, Inc.: And, Neil, I think, we'll – as we've done in years past, we will probably roll-out a more formal CapEx forecast in early January for the PBF Logistics side of the house. You should assume general kind of maintenance CapEx anywhere from $10 million to $15 million a year. And then on top of that would be anything related to acquisitions and organic projects. And again, probably going to quantify that at the beginning of next year.
Neil Mehta - Goldman Sachs & Co. LLC: That's great, guys. And then the follow-up is just any thoughts about, given the sustainability and the need to issue equity. Certainly with the cracks being where they are, the company is in a better position to generate free cash flow next year, but you did issue equity around these levels last time. So any thoughts on that as we head into 2018 as well.
Thomas J. Nimbley - PBF Energy, Inc.: I'll just cover the dividend side and let Erik speak to the balance sheet and equity. As we said, we want to reward our investors, pay them rent. So, we intend to continue to pay the dividend. We're not going to increase the dividend, but we're going to continue to pay the existing dividend. That's our plan. And hopefully, as you suggest, with the margin environment, if we perform, then we will not have the overhang that we had with some of the large capital spend, et cetera. And that will no longer be an issue.
C. Erik Young - PBF Energy, Inc.: And I think, on the balance sheet side of things, as we look forward into the fourth quarter and into next year, forward cracks are very strong. We do see positive benefits of working capital coming back our way at the end of this year as we hit our year-end inventory targets. And the combination of those two things, we think, will start to really tick down our net debt to cap. I think, on a stand-alone basis, we're probably in the 33% to 35% range today. And one thing that people need to understand, PBF Energy, Inc. has both PBF Energy, the refining business, as well as PBF Logistics. And those two businesses are financed on a very different manner. So, PBF Logistics today has leverage in the kind of circa 3 to 3.5 times EBITDA range. Clearly, PBF is much less levered than that. But as PBF Logistics continues to grow, you're going to have a larger portion of the balance sheet that's allocated to Logistics. So, we tend to look at them separately, although they are consolidated on the PBF Energy, Inc. umbrella.
Neil Mehta - Goldman Sachs & Co. LLC: Thanks, guys. If I could sneak in one last question, it's just on Brent/TI. Tom, just wanted to get your thoughts on it. It's a couple bucks wider than most would have thought going into the year. What do you think transportation economics ultimately gets the Brent WTI spread to settle out at? And what's driving the breadth of that spread?
Thomas J. Nimbley - PBF Energy, Inc.: I think, right now, both sides have pull or pushes. Obviously, Brent's been pulled. There's been some movement to Asia and strong runs in Europe. And that's come off now as they've slowed down a little bit in the post-Harvey environment, but there was some obviously positive pull on Brent. At the same time, TI got backed up a little bit with the logistics issues with the storms, and so that puts some pressure and we've seen it get up to almost $6 a barrel here. Our own view is, it will trade in transportation and quality differentials to the benchmark crudes. And candidly, when we look at it, I never understood why $2 a barrel where people were saying or $1 to $2 a barrel would give you justification to export, certainly not a TI barrel. I think it's going to be more on the $4, plus or minus $0.50, range going forward.
Neil Mehta - Goldman Sachs & Co. LLC: Thanks, guys.
Operator: Our next question comes from Blake Fernandez of Howard Weil.
Blake Fernandez - Scotia Capital (USA), Inc.: Hey, guys. Good morning. Erik, you referenced a couple of times the working capital online and to year-end. Can you give us some kind of order of magnitude or quantification of that?
C. Erik Young - PBF Energy, Inc.: I think, from an inventory standpoint, the goal would be, depending on where prices go between now and the end of the year, we should liquidate anywhere from $100 million to $200 million of cash.
Blake Fernandez - Scotia Capital (USA), Inc.: Great. Okay. The nameplate of Chalmette per our model is about 189,000 barrels a day, and I see the guidance is 190,000 barrels a day to 200,000 barrels a day for 4Q. Can you help us understand what's going on there?
C. Erik Young - PBF Energy, Inc.: That's pretty easy. When we go off the nameplate, it's basically crude capacity that you're referencing. So if you're on gas or oil, you bring in blend stocks or you bring in butanes to blend into gasoline, that oil goes into the total throughput number, so you usually get a boost on that. But typically, the 190,000 barrels a day or 185,000 barrels a day is an economic optimum on a crude slate.
Blake Fernandez - Scotia Capital (USA), Inc.: Got it. Okay. And then, the final thing, Tom, you mentioned RINs obviously in the full year exposure, about $350 million. If I'm not mistaken, the Chalmette storage capacity expansion should allow for some export capability. Would that meaningfully change your exposure there?
C. Erik Young - PBF Energy, Inc.: It certainly will have an impact on it, and it will be substantive when we fully complete our program here. The tank itself – by the way, we exported about 35,000 barrels a day in the second quarter. Now, we're really at the time where we can start executing step two, if you will, and that is very large crude tank that the logistics company is building is actually complete mechanically. It's been hydrotested, and we're actually supposed to have our first crude cargo delivery into that tank middle of next week. The commercial organization has been working diligently over the last three to six months in anticipation of now having debottleneck significantly the export capability to start moving up the distillate and gasoline export capability out of Chalmette. So that is certainly going to give us another arrow in the quiver in the fight against the RINs battle.
Blake Fernandez - Scotia Capital (USA), Inc.: Got it. Thank you.
Operator: Our next question is from Paul Cheng of Barclays.
Paul Cheng - Barclays Capital, Inc.: Hey, guys. Good morning.
Thomas J. Nimbley - PBF Energy, Inc.: Morning.
Paul Cheng - Barclays Capital, Inc.: Tom, you talked about IMO 2020. Is there any large CapEx in the refining that you may plan to do because of that?
Thomas J. Nimbley - PBF Energy, Inc.: I'd go back to what I said earlier, Paul. The big thing for us is, the refineries that we have purchased really sets us up for taking advantage of MARPOL and benefiting and complying with that, because we have got refineries that are – our coking refineries have the complexity necessary to be able to handle any crude or any raw material. And then get into position where we can actually be in a position to buy coker feed, if coker feed becomes economics because of the MARPOL spec changes, which is likely going to see an increase in stranded resid barrels that will have to work its way into the market with a lower price. Further investment, there are opportunities. We actually do have a coker that was idled, if you recall, by the joint venture between ExxonMobil and PDVSA, and that was part of that new business model. That's a relatively small coker, but we're looking at whether or not it makes sense to start that up. We think that coking capacity is going to be very valuable, given the clean-dirty spreads that some folks, including all of you folks, are forecasting in a post-MARPOL world.
Paul Cheng - Barclays Capital, Inc.: The second question, just curious that, do we have a next step in terms of the industry fight on RIN? Or that we are really at the mercy of what Congress and – because doesn't look like EPA going to do anything. Is there any hope that – based on your discussion with the government official in Congress – that they may take up the issue or that there's really is nothing that we should expect? And then a final one is that, Erik, can you break down the $500 million to $525 million a year on the average CapEx between the different components in terms of turnaround, maintenance, environmental, and growth? Thank you.
Thomas J. Nimbley - PBF Energy, Inc.: Let me – what was the first question?
C. Erik Young - PBF Energy, Inc.: RINs.
Thomas J. Nimbley - PBF Energy, Inc.: Oh yeah. On the RINs, Paul, look, I actually think we are going to get, at some point now, a legislative fix to this. There is a dysfunction, a lack of alignment, not only in some parts of Congress. Obviously you got the corn lobby that's fighting to the death to preserve every aspect of this thing. You've got even some lack of alignment within the industry itself between people who have the integrated model, the downstream model, blend their own gasoline and get the RIN. All of that is noise. The consumer is paying for this, and the speculators and big oil companies and the corn lobby is making money on it. That is well understood in Washington, D.C. We referenced this letter that Senator Cruz and eight other senators sent to the White House. They reminded him in the letter, President Trump, that while his support of the corn lobby is welcomed by the corn lobby, the State of Iowa has four Electoral College votes, and they did not vote for President Trump. State of Pennsylvania has significantly, about 20 or 21 Electoral College votes, and for the first time in a long time, that state went for a Republican candidate, based on the promise to make America great again, manufacturing jobs, and he has been reminded of that. And in fact, we think there's going to be another group of people from the Hill who are going to be writing on the issue of speculation and perhaps manipulation in the RINs market. So I think there's a pretty wide recognition that this thing is broke. And now at some point, you're going to – I personally believe that Congress will take up the mantle and try to get a legislative fix. It won't be repealed. It's kind of like Obamacare. This thing is not going away. But to get a fix that – or a grand bargain, and that actually could happen. That's what the letter from the senators asks for. That could happen soon because President Trump seems to react to things that are – problems that are put in front of him. And there's some possibility we will get this meeting between the senators who wrote the first letter to the EPA and the senators who wrote the letter recently in support of making some changes, and the President himself. So we'll see.
C. Erik Young - PBF Energy, Inc.: And Paul, I think, on the CapEx side, if we just use 2017 as a guide, we had roughly $500 million between turnaround, maintenance, environmental and kind of general CapEx. And breakdown there is probably $300 million to $325 million for turnarounds and the remainder in the other buckets. Give or take, in any given year, depending on turnaround cycle, you're probably going to see a 10% or 20% shift for those generic buckets between turnaround maintenance and environmental.
Paul Cheng - Barclays Capital, Inc.: And if I have turnaround maintenance and environmental, is that together will be already $500 million or that's including a component of growth in the $500 million?
C. Erik Young - PBF Energy, Inc.: Right now, we did not include any discretionary CapEx in that. So, for instance, for 2017, when we look at our $600 million number, you had basically $500 million, $325 million for turnaround, $175 million for other, maintenance, general and environmental, and then we had the Pearl project down at Chalmette, and we had a handful of other small, discretionary projects that we included in there. The $500 million is a general rule-of-thumb for ongoing expense across our entire system. And again, that's going to shift as we go depending on – it's going to be driven more by turnarounds than anything else.
Paul Cheng - Barclays Capital, Inc.: Thank you.
Operator: Our next question is from Justin Jenkins of Raymond James.
Justin S. Jenkins - Raymond James & Associates, Inc.: Great, thanks. I think, we had covered most of what I had. So I guess just one on the midstream side of things. Erik, you mentioned a solid balance sheet there, and it was another strong quarter of results. Any thoughts you have maybe strategically for the MLP, clearly been a tough midstream market lately, but seems like you're not getting credit for what you've accomplished there on both the PBF and PBFX side. So, I don't know if it's a change in the IDR side or a drop-down strategy or any other thoughts you have there?
Thomas J. Nimbley - PBF Energy, Inc.: I think, we would agree with you that we've been frustrated and don't feel like we're getting the recognition we deserve. I think, 2017 has been a critical year for PBF Logistics as we've continued to grow, given the capital markets challenges. A lot of that is making sure that our balance sheet can kind of weather the storm. From our perspective, focus is really on organic growth. We've done a decent number of projects this year that have both come online now. And I think, as we go forward, the thought would be, let's focus on organic growth, third-party acquisitions. We always have drop-downs as an alternative as well. As you know, we haven't given guidance around drop-down timing. We've given more distribution growth guidance. And from our perspective, right, we've essentially distributed 15% CAGR since we started a few short years ago and have more than tripled the size of our MLP. So, from our perspective, it's keep your head down when the times are tough, continue to execute, operate well and grow this business as one of the beauties of PBF Logistics is that the strategic partnership with PBF Energy is very critical. So, as both of these companies can lean on each other and continue to grow, that's really our focus.
Justin S. Jenkins - Raymond James & Associates, Inc.: Perfect. Appreciate it, guys.
Operator: And this concludes our question-and-answer session. I'd be happy to return the call over to Mr. Tom Nimbley for any concluding remarks.
Thomas J. Nimbley - PBF Energy, Inc.: Thank you. If you have not guessed, we are excited about the fourth quarter and 2018. Our assets are operating well, and with the high demand environment we foresee, the products markets are strong. We have put ourselves in an ideal position to benefit from these conditions. Thank you for joining our call, and have a great day.
Operator: This does conclude today's PBF Energy third quarter 2017 earnings call. You may now disconnect your lines. And everyone, have a great day.